Operator: Good day, ladies and gentlemen and welcome to the LivaNova PLC First Quarter 2024 Earnings Conference Call. As a reminder, this conference call is being recorded. I would now like to introduce your host for today's conference, Mr. Matthew Dodds, LivaNova's Senior Vice President of Corporate Development and IT. Please go ahead, sir. 
Matthew Dodds: Thank you, Candice and welcome to our conference call and webcast discussing LivaNova's financial results for the first quarter of 2024. Joining me on today's call are Vladimir Makatsaria, our Chief Executive Officer and member of the Board of Directors; Alex Shvartsburg, our Chief Financial Officer; Stephanie Bolton, President of Global Epilepsy; and Briana Gotlin, Director of Investor Relations.  
 Before we begin, I would like to remind you that the discussions during this call will include forward-looking statements. Factors that could cause actual results to differ materially are discussed in the company's most recent financial filings and documents furnished to the SEC, including today's press release that is available on our website.  
 We do not undertake to update any forward-looking statement. Also, the discussions will include certain non-GAAP financial measures with respect to our performance, including but not limited to, revenue results, which will all be stated on a constant currency basis. Reconciliations to the most directly comparable GAAP financial measures can be found in today's press release, which is available on our website. We have also posted a presentation to our website that summarizes the points of today's call. This presentation is complementary to the other call materials and should be used as an enhanced communication tool. You can find the presentation and press release in the Investors section of our website under News, Events and Presentations at investor.livanova.com.  
 I would like to welcome Vlad to his first earnings call as LivaNova's CEO after starting March 1. Prior to joining LivaNova, Vlad most recently served as company Group Chairman at Johnson & Johnson MedTech, leading its global Ethicon surgery business. He's a respected leader in the medical technology industry with a 27-year track record of delivering results, driving innovation and leading high-performance teams.
 With that, I will turn the call over to Vlad. 
Vladimir Makatsaria: Thank you, Matt and thank you, everyone, for joining us. It's my pleasure and privilege to welcome you to LivaNova's conference call for the first quarter of 2024 as LivaNova's Chief Executive Officer. First and foremost, on behalf of the Board and the executive leadership team, I would like to express our gratitude to Bill Kozy, Chair of the Board of LivaNova for a tremendous job leading the company on an interim basis.  
 I would also like to thank the entire Board of Directors for the opportunity to serve as CEO and express my sincere gratitude and excitement for the future of LivaNova. During my first 2 months, I interacted with customers, met investors and engaged with my colleagues around the world. I can confidently say that the patient first mentality thrives across every function and geography at LivaNova. It is an honor to work with a global organization that focuses on solving significant unmet patient needs in 2 very high-impact medical fields, neurological and cardiac health. I'm humbled to be in this role and grateful to our teams for their exceptional work and dedication to serving our patients and customers. 
 Over the coming months, I will continue to listen, learn and complete a comprehensive review of business. In doing so, I'm focused on 3 key areas: execution, innovation and talent. Let me provide additional color on each. First, execution and performance. My view of success in this area is achieving sustainable above-market growth while improving profitability and cash flow and most importantly, delivering on commitments to our customers. The first quarter marked our fifth consecutive quarter of double-digit revenue growth. In Cardiopulmonary, we maintained above-market growth, driven by the strong launch of the Essenz heart-lung machine and our ability to fulfill the high demand for consumables. In epilepsy, we saw continued growth in both new and replacement implants, driven by disciplined commercial execution.  
 Second, innovation and portfolio. Over the last year, the company has made progress in refining the business strategy and portfolio, including the wind down of the Advanced Circulatory Support segment and the Heart Failure program. These portfolio actions position us well for the future and enable us to have appropriate resources, focus and investment to drive growth in the business. This includes reinvigorating our cadence of core innovation to meet our customers' most prevalent unmet needs. In both difficult-to-treat depression and obstructive sleep apnea, we anticipate results in RECOVER and OSPREY studies later this year. Looking ahead, we will evaluate those opportunities alongside a holistic view of all possibilities for innovation.  
 At LivaNova, our commitment to pioneering innovation remains unwavering. And to this end, I'm very pleased to welcome Ahmet Tezel, as LivaNova's Chief Innovation Officer, which we announced yesterday. Ahmet has a remarkable track record leading teams and developing a wide range of market-leading technologies. Ahmet will drop on his extensive experience to guide innovation at LivaNova.  
 And finally, the third area of focus is people and culture. Any great organization starts with great people. And in my first 2 months at LivaNova, I have met many of our colleagues from Houston to Arvada, from Munich to Mirandola. As previously mentioned, I'm most impressed by the embodiment of the patient first value. I was also struck by their deep expertise in the areas which we operate. It is no wonder we are category leaders in heart-lung machines and epilepsy surgery. We will build on this foundation and continue to attract top talent to LivaNova. Focus on execution, innovation and talent will lead to success as an organization. We're confident that by delivering in each of these areas, we will improve patient outcomes and create shareholder value. 
 For the remainder of the call, I will focus on the first quarter results and then turn to our strategic portfolio initiatives. After my comments, Alex will provide additional details on our results and update 2024 guidance. I will wrap up in closing remarks before moving to Q&A. So in the first quarter, we achieved 12% revenue growth versus prior year. Excluding the impact of ACS segment wind down, revenue increased 14% versus 2023. This performance included double-digit revenue growth in both Cardiopulmonary and Neuromodulation segments. We're encouraged by our team's continued strong execution as demonstrated by our performance in the quarter.  
 Now turning to segment results. For the Cardiopulmonary segment, revenue was $156 million in the quarter. That's an increase of 16% versus the first quarter of 2023. Heart-lung machine revenue increased more than 20%, driven by Essenz. We are pleased to see continued  Essenz placements and strong price mix in the quarter. Oxygenator revenue grew in low teens, driven by customer demand and price.as previously noted, the oxygenator business continues to see strong demand and our efforts to increase capacity remain on track. We now expect cardiopulmonary revenue to grow 8% to 9% for the full year 2024.  
 Our revised forecast incorporates strong HLM growth and continued strong demand for consumables. Epilepsy revenue increased 11% versus the first quarter of 2023. The U.S. epilepsy revenue increased 13% year-over-year with growth in both new and replacement implants. We achieved 826 new patient implants in the quarter, representing 4% growth versus the prior year. We realized 1,941 replacement implants, representing 5% growth versus the prior year.  
 Epilepsy revenue in Europe and the rest of the world grew 7% versus prior year. For the full year 2024, we continue to expect global epilepsy revenue to grow 6% to 7%. Our forecast incorporates a continued mid-single-digit growth rate in the U.S. new patients and more normalized low single-digit growth rate in replacements. We now expect international revenue to grow in high single digits. Difficult to treat depression revenue in the first quarter was $2 million. And for the full year, we continue to anticipate approximately $7 million revenue primarily coming from the RECOVER study. The RECOVER study continues to advance and the bipolar cohort continues to enroll as expected. As a reminder, enrollment for the unipolar cohort of the study is now complete. We anticipate the 12-month follow-up data for the 500 unipolar patients in the second quarter. At that time, we will conduct an analysis and continue to expect publication of the full study results by late 2024.  
 Now moving to obstructive sleep apnea. The OSPREY clinical study achieved a positive predictive outcome and concluded enrollment in March, that -- this means that there is a very high probability that there will be a statistically significant result in the primary endpoint, which is 7 months AHI response rate. In accordance with the study protocol, once the last implanted patient completes the last follow-up visit, we will conduct a final analysis for the study. we are pleased to have achieved this positive milestone for the OSPREY study, and we will continue to work actively with clinical sites to manage the study patients. 
 With that, let me turn the call over to Alex. 
Alex Shvartsburg: Thanks, Vlad. During my portion of the call, I'll share a brief recap of the first quarter results and provide commentary on 2024 guidance. Turning to results. Revenue in the quarter was $295 million, an increase of 12% versus 2023. Excluding the impact of the ACS segment wind down, revenue increased 14% versus 2023. Foreign exchange in the quarter had an unfavorable year-over-year impact of approximately $1 million or less than 1% of revenue.  
 Adjusted gross margin as a percent of net revenue was 71% compared to 69% in the first quarter of 2023. The year-over-year increase was driven by favorable product mix and pricing. Adjusted R&D expense in the first quarter was $43 million compared to $46 million in the first quarter of 2023. R&D as a percent of net revenue was 15%, down from 18% in the first quarter of 2023.  The year-over-year decrease was largely driven by the closeout of the ANTHEM trial. Excluding the costs related to ANTHEM, our R&D investments increased 15% versus the prior year. Adjusted SG&A expense for the first quarter was $113 million compared to $108 million in the first quarter of 2023. The year-over-year increase was driven by targeted investments supporting Essenz, legal expenses and variable costs such as freight and commissions associated with increased revenues, offset by the reduction in ACS.  
 SG&A as a percent of net revenue was 38% compared to 41% in the first quarter of 2023. Adjusted operating income was $53 million compared to $27 million in the first quarter of last year. Adjusted operating income margin was 18% compared to 10% in the first quarter of 2023. This increase was driven by improved gross margin and operating expense leverage primarily related to the wind down of the Heart Failure program and the ACS segment.  
 Adjusted effective tax rate in the quarter was 21%, compared to 6% in the first quarter of 2023. The year-over-year increase is related to developments in the global tax landscape and is in line with our expectations. Adjusted diluted earnings per share was $0.73 compared to $0.43 in the first quarter of 2023. Our cash balance at March 31 was $309 million, up from $267 million at year-end 2023. Total debt at March 31 was $624 million, up from $587 million at year-end 2023. This increase in total debt was driven by the closing of a $345 million private offering of convertible senior notes maturing in 2029 and repurchase of $230 million of convertible senior notes.  
 Net debt, including restricted cash at March 31 was $120 million. Adjusted free cash flow for the quarter was $11 million, down from $20 million in the prior year period. The year-over-year decrease was driven by higher working capital needs and the ACS restructuring costs. Capital spend in the quarter was $6 million compared to $8 million in the prior year. the year-over-year decrease was driven by timing of key investments. 
 Now turning to our revised 2024 guidance. As Vlad mentioned, based on our performance in the first quarter, we're increasing our full year 2024 revenue and adjusted diluted earnings per share guidance while maintaining the range on our adjusted free cash flow. We now expect 2024 revenue growth on a constant currency basis between 6% and 7% and between 8% and 9%, when excluding the portion of the ACS business that we are exiting. In the first quarter, we observed favorable comparisons, which will continue in the second quarter. While we do not provide quarterly guidance, we expect revenue growth to be lower in the second half of 2024 compared to the first half of this year.  
 Foreign currency is now expected to be a 1% headwind based on current exchange rates. We continue to expect a full year adjusted effective tax rate of approximately 21%. We now project adjusted diluted earnings per share in the range of $3.05 to $3.15 with adjusted diluted weighted average shares outstanding to be approximately 55 million for the full year. Adjusted free cash flow is still expected to be in the range of $95 million to $115 million, an increase of approximately 9% at midpoint versus the prior year. This range includes a meaningful step-up in capital spending, which we forecast to be approximately $60 million. As a reminder, our cash flow projections include costs associated with the ACS wind down in the range of approximately $15 million to $20 million, the majority of which occurs in 2024. From a phasing perspective, free cash flow generation in the first half of the year is lower than the second half. And as a reminder, LivaNova pays its prior year short-term incentive bonuses in the second quarter.  
 In summary, I'm encouraged by the company's execution and financial performance in the first quarter. Looking to the rest of the year, we will continue to invest in critical capabilities to support innovation, growth and infrastructure. We remain well positioned to drive above-market growth and more than 300 basis points of operating leverage in 2024. With that, I'll turn the call back over to Vlad. 
Vladimir Makatsaria: Thank you, Alex. And so to conclude, our first quarter results were marked by double-digit revenue and operating income growth in both the Cardiopulmonary and Neuromodulation segments. Our performance in the quarter positions us well to build on this competitive momentum Looking ahead, we will focus on execution, innovation and talent. With this framework in mind, we expected -- we're excited for the remainder of the year. Again, we will build on the strength of our core cardiopulmonary and epilepsy businesses, making investments to drive sustainable above-market growth. We will also gain clarity on the results from the RECOVER and OSPREY studies, which will allow us to strategically target our most compelling opportunities. Finally, we will continue to explore areas of high clinical unmet need in markets with high-growth potential to create long-term shareholder value.  
 In closing, I would like to thank my colleagues across the organization for the warm welcome to LivaNova. Their hard work and passion underpin our success as an organization. I'm grateful for their continued dedication to serving customers and patients. And together, we will continue to advance our mission of improving outcomes for patients with neurological and cardiac health conditions around the world. 
 So with that, Candice, I think we're ready for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Rick Wise of Stifel. 
Frederick Wise: Vlad, I look forward to meeting you in person. Maybe to start off, you talked about the fundamental momentum and it's clearly visible in the outperformance. Maybe you could help us better understand just, first at a high level, the sustainability of the strong epilepsy growth that we saw and some of the drivers there, both on the new implant side and replacement. How are you thinking about the year unfolding and the drivers of that? And on the Oxy side, where are you with the capacity expansion? And are you seeing competitors come back? So again, addressing the sustainability and your thoughts about it as you look ahead to the full year? 
Vladimir Makatsaria: Yes. Well, Rick, thank you for the question. And likewise, I look forward to meeting you in person soon. Look, I think the first order of business, as I said in -- earlier in my comments, is to build a sustainable above-market growth in the core business. And I think it's both in Cardiopulmonary and in Neuromodulation segments. On the cardiopulmonary side, the sustainability comes from continuous upgrade to the Essenz heart and lung machine, which still around the world, we have major opportunities. And as a market leader, I think that upgrade is our biggest driver for that growth momentum as we continue to upgrade the customers but also to upgrade the technology itself.  
 On the disposable side, we have a significant opportunity to increase our market share still. And obviously, we were helped in this quarter with -- in the previous quarters with some of the competitive disruptions. So we have capitalized on that momentum. And the key drivers there will be short term, will be expansion of our capacity, which we are on track. And we are using our current footprint to really improve the way the work is done. So that's #1.  
 And then #2 is going back to innovation, is making sure that our cadence in innovation in the oxygenator and other disposable business is following. So that's on the cardiopulmonary side. On the neuromod side is similar drivers. Obviously, we're coming from the position of strength. We're currently the leader in the technology, in the space of kind of neuromodulator interventional procedures, surgical procedures and we will build on that strength. The key driver there for sustainable growth will be innovation. And so our first step is to invest in digitally connected technologies and that will make procedures easier for the physicians and better outcomes for patients. So that is going to be the major driver of our long-term sustainability.  
 And short term is really about our commercial execution around the world, which with [ Steph's ] leadership over the last year, we have significantly improved. So that's that. And I'm really encouraged because it's, now I look back and it's 5 quarters of double-digit growth. And obviously, my key role here is to make sure our organization is enabled to continue this momentum. 
Frederick Wise: Yes. That's great. And maybe just to -- as a follow-up, you've highlighted innovation repeatedly. I think I'm correct in saying you said R&D growth ex whatever, 15%, if I'm saying it correctly. Anyway, you've made an important hire with the Chief Innovation Officer. What are you charging him with? What are you asking him to do? What are his priorities? What are your priorities? What can we expect to see? You've touched on a little bit. Maybe you can give us a little deeper perspective. 
Vladimir Makatsaria: Rick, thank you for highlighting this. I think it's a big deal for us. Ahmet comes with just an incredible track record. And you can obviously, you can look at his background in various companies, various technologies and clinical states. And he led not just R&D but a holistic innovation functions with regulatory and medical affairs, clinical, preclinical market access. So that's a little bit on Ahmet's background.  
 And I think just outside of pure innovation capability. He is an extraordinary leader and I think just is a great addition to our leadership team. My -- and to go back on the why and what needs to get done, it's been 2 months for me and I've been kind of deeply engaged with teams around the world and learning and assessing and I'm -- like I said, I'm extremely impressed with the people and talent and culture of LivaNova.  
 Obviously, execution is very strong and you see this in the results. Innovation is one area where we need to build on the strength of our core and really accelerate. And my ask for Ahmet is to come in and continue to develop top talent and bring top capabilities in functions that are surrounding innovation, so bring top talent and develop our current talent at LivaNova, that's #1. 
 Improve our processes on how we look at innovation from end-to-end stage, inside generation, product development, market access, links to supply chain, so improve the entire process of innovation end-to-end. And then finally, help us assess and make decisions on spaces in which we should work. Short term, there will be some major decisions that we will have to make with our OSA and DTD strategy. And I think it will be important to have his voice on this. 
Operator: The next question comes from the line of Matt Taylor of Jefferies. 
Matthew Taylor: I guess I actually wanted to ask 1 about the medium-term outlook for some of your businesses. It's a little bit challenging to try and forecast cardiopulmonary with some of the dynamics going on with Oxy this year. Can you help us understand, I guess, first, for oxygenators with your increase in capacity, combined with all the share you've gained and the potential for competitors to come back, how do you expect that business to grow over the next couple of years? And same kind of question I have on the heart and lung machine launch. Obviously, that's done really well, you're out of the gate. What happens when you start to comp the launch? What kind of growth would we expect through that period? 
Alex Shvartsburg: Matt, it's Alex. I'll take this one first. So in terms of the midterm outlook for the cardiopulmonary business, we really excited about the opportunity that we have in the HLM replacement cycle. We said all along, this is going to be a multiyear opportunity for LivaNova and we're capitalizing on the great technology and the insights that we use to develop the product. So we think that the HLM growth will continue -- will continue to accelerate into the balance of the year. So that -- and we project that for -- as I said, for the next couple of years. 
 As far as the oxygenator business, as we've said all along, we reached our sort of peak capacity in oxygenators in the second half of last year. We've been really working hard to expand the capacity and the team is doing a really good job at that. We're actually seeing some acceleration in those programs where we're really improving our processes at the Mirandola manufacturing facility and continuing to add some automation to enable that. 
 So we expect some capacity expansion, primarily in the second half of this year but we're probably going to see some benefits in the second quarter as well. So feel good about the opportunity that we have there. Now we're monitoring the competitive situation, never sure what the competition will do in terms of coming back into the market but we feel like we have a great opportunity to continue to enhance our market position and continue to capture market share. 
Operator: The next question comes from the line of Michael Polark of Wolfe Research. 
Michael Polark: My first question is on the sleep program. Obviously, a positive update here from the clinical trial prediction work. This is a confirmatory study. You know a lot about this asset already. If I just speculate on timing, kind of this team is set up or LivaNova is set up to get an FDA approval, call it, middle of 2025, maybe 1 year away from today. And so I'd imagine you would want to think about doing some commercial prep here, hiring a field force, that sort of thing. So what is the state -- what is the view on that, prepping for a sleep launch in 2025? And maybe as it relates to 2024 numbers, do you have anything built in here from an OpEx perspective on early sleep prep? 
Matthew Dodds: Mike, it's Matt. I'll go through those for you. So for the program, we are going to have around 105 patients implanted. We took to look at 90 but as we were discussing with the FDA on early stoppage, all patients in the queue were implanted. So it's -- we're going to have the primary endpoint data at a 7-month reduction in AHI around year-end. And to your point, we probably file then, assuming the data is there in early '25. And just so you're aware, we do have to give the FDA 1-year safety data as well. That would probably be in like April. So it's still a 2025 approval based on where we are today, it didn't change that much. 
 In terms of the commercial prep, I think the 7-month data will be directionally very important but we're -- again, we're not going to get that until year-end.  The 13-month data, which will compare to the competitive data we've seen from, now 2 companies, that's the really important data. So I would say, commercially, we're going to take this very slow until we see, a, the 7-month data and then; b, the 13-month data. So there's really not much in 2024 in terms of commercial spend. 
Michael Polark: Helpful. And then my follow-up on the Essenz launch, I'm just curious in the U.S. and Europe, where this product is available kind of what is the Essenz that [indiscernible] mix? Any color on units and how it has ramped versus the back half of last year? And what Essenz unit expectations might be for this year? 
Alex Shvartsburg: Mike, it's Alex. We're not sharing the actual unit numbers. What I will tell you is, typically, first quarter is kind of a lower volume quarter anyway for our heart-lung machine placements. And we continue to anticipate that we'll have a steady increase in placements throughout the year. 
Operator: The next question comes from the line of Adam Maeder of Piper Sandler. 
Adam Maeder: Congrats on the nice start to the year. I wanted to follow up on Essenz and I believe, you're fully launched in the U.S. and Europe but was hoping you could talk about potential time lines for rest of world. And then also wanted to better understand how the existing heart-lung machine installed base is kind of is broken down by geography as we think about a potential replacement curve. And then I had a follow-up. 
Alex Shvartsburg: Yes. So Adam, again, as far as the Essenz, rest of world rollout, this is already starting to occur in select markets. As we saw in Europe and the U.S., we kind of start out slowly with kind of the limited commercial releases and then ramp as we get insights and feedback from our customers. So throughout the year, we'll see a continued flow of new markets coming online. 
Adam Maeder: And Alex, any color on the existing heart-lung machine installed base and kind of how that looks between the U.S., Europe and rest of world? 
Matthew Dodds: Sure, Adam, it's Matt. U.S., say, roughly 30%. Europe, about 20%. Rest of World 50%. 
Adam Maeder: Okay. I got it. That's good color, guys. And then for the follow-up, I wanted to ask Vlad, for your thoughts on the RECOVER program. And I guess, 2-part question. First, what would you define as a successful RECOVER trial? Maybe to ask the question differently, what do you want to see to push forward and commercialize the program. 
 And then I did want to ask about data disclosure. It sounds like you'll see the data in June, so next month. Will you top line that information to the investment community? Do you have approval to do that from CMS? Or is that still up in the air? 
Vladimir Makatsaria: Yes. So Adam, thank you for the question. It's -- obviously the outcome of the RECOVER trial is a very important milestone for us because, I mean, not only it will, more importantly, make some opportunities potentially available for patients but also will kind of determine direction of our strategy on this one. So it's an important milestone. All the decisions will be routed and founded on the outcome of the clinical study. And like you said, we anticipate the results before the end of this quarter. 
 And once we have them, we will analyze and we will make; a, make it transparent at the high level to the community. So that's important. And two, based on these clinical results, we will then determine the path with -- work with CMS, with the clinical sites and with the investment community on what is the best path forward. So to your point, there will be transparency to data as we have it at the high level. 
 And then the full data will be available by the end of the year with the scientific publication. And then the way I look -- it's a complex trial because it hasn't -- we're answering a number of questions in various clinical needs within difficult-to-treat depression. So we will have to assess together with CMS on the path reimbursement depending on what clinical questions we are positively answering. 
Operator: The next question comes from the line of Anthony Petrone of Mizuho Group. 
Anthony Petrone: Congrats to the team here on strong 1Q and Vlad, congrats on the new role, CEO with the company. Maybe to start with guidance and maybe just a little bit of math on the 1Q beat versus the guidance outlook. And so you look at the prior guidance versus revised guidance, top line is up by 200 basis points and midpoint of the range is up $0.10. You had a sizable 600 basis point beat top line and a $0.24 beat in 1Q. So there's a little bit of spread there. So hoping to just get a little bit of color on the extent of the 1Q beat and what's implied for guidance. 
 And then one specific to guidance would be on capacity for oxygenators. What is actually assumed in there in the revised guidance of 4% to 6%, does that reflect a tailwind in the second half for that business specifically? And I'll have one quick follow-up. 
Alex Shvartsburg: Anthony, it's Alex. So the first quarter is typically a low quarter for us in terms of revenue and profitability. So we had favorable comparisons and we just -- we do not expect the same level of growth in the second half of 2024. We're still continuing to invest in critical capabilities to support innovation and growth and infrastructure. And we expect spending to be higher for the remainder of the year. 
 Additionally, we saw favorable pricing and product mix, which contributed meaningfully to our gross margin expansion in the quarter. So look, at the end of the day, it's still early in the year. And the way we think about this is, we have some significant opportunities, as Vlad talked about, the innovation portfolio, et cetera. And I think it's -- at this point in time, we're taking sort of a prudent approach to the revised guidance. 
Anthony Petrone: No, that's very helpful. And go ahead. Sorry. Sorry, Alex. 
Alex Shvartsburg: No, go ahead. 
Anthony Petrone: That's helpful. Alex, maybe just a quick, follow-ups here and I'll get back in. One would be, just to recap on the cost savings from ACS and when we think about depression, how do you think about the bipolar cohort here? So in other words, there's a go, no-go sort of option here for unipolar, how does that influence the bipolar cohort decision-making process? 
Alex Shvartsburg: I'll take the ACS question first. As far as the -- we guided the ACS savings and the impact on EPS to about approximately $0.10 at the beginning of the year. We still feel good about that. Now with your follow-up question, I'll turn it over to Matt. 
Matthew Dodds: Sure. So Anthony, for bipolar and we said last June, we had 150 patients enrolled and we said roughly 25 patients a quarter and we've said that's on track. For that one, the unipolar data could have an influence on it but this is a very different patient group. And if you look at some of the historical data that we've shown, generally VNS does better with the bipolar patients. So there is still a path for bipolar regardless of where unipolar ends up, in our opinion. 
Alex Shvartsburg: And Anthony, just a follow-up on your question regarding capacity. We're continuing the program to expand our capacity in Mirandola. And that's, as I said, it's going really well. We incorporated that capacity expansion into our original guidance. And so we're kind of maintaining that assumption. We're going to see some favorable benefits, some tailwinds in the second quarter as we were able to achieve some success there earlier than anticipated. But the expectation is that there's going to be some growth in the back half of the year as a result of our ability to expand the capacity. 
Operator: The next question comes from the line of Mike Matson of Needham & Company. 
Michael Matson: Yes. Just, so on the Essenz launch, I mean obviously, it's driving really strong growth. But I was wondering, you are getting a pretty big price premium with Essenz. So, how much of it is pricing? And how much of it is volume? I know you're not going to give us the volume number but I guess I'm getting at is, has volume picked up as the availability of Essenz driven more upgrades? Or has it really just been pricing so far at least. 
Alex Shvartsburg: Yes. Look, we're seeing a strong funnel with regard to units and the placements have been tracking according to plan. So yes, obviously, the price mix benefit, right, we have a substantial price premium in effect here but we're also seeing customers sort of taking advantage of the newer technology and the feature and benefits that are offered with Essenz that didn't exist with S5. So we are getting some of that benefit. But as I said, our funnel for unit placements looks strong for the balance of the year and we're going to continue to see an acceleration of our placements. 
Michael Matson: Okay. Got it. And then with the earlier sort of end of enrollment in OSPREY, is there any cost savings associated with that. I think on the last call, you said you expected to spend a little more than the $27 million that you spent in '23 on that program. So would that spending be down as a result of that? Or is it kind of not impacting it? 
Alex Shvartsburg: It's roughly the same, Mike, because the majority of the cost is associated with managing the patients throughout the trial -- throughout the study. So while there's some savings and perhaps the recruitment costs, the majority of the costs reside in sort of the active management of patients throughout the trial process. 
Operator: The next question comes from David Rescott of Baird. 
David Rescott: Great. Vlad, I wanted to follow up on one of the comments I heard you make in the prepared remarks around evaluating RECOVER, OSPREY trials alongside what you called a holistic view around some of the areas for innovation. And I'm wondering if you could expand a little bit on what some of the factors are maybe around that holistic approach. And then specifically for RECOVER, I heard some of the comments earlier to a prior question but does the holistic view around RECOVER get accounted for or thought about maybe when we start to hear about some of the top line results? Or is that maybe more of a, hey, let's wait to issue the publication and think about the fit in the portfolio longer term? 
Vladimir Makatsaria: Yes. So thank you, David. I think short-term investment choices will -- and I'll start maybe before the RECOVER and OSPREY comment. But if you look at some of the really good decisions that the leadership team made over the last couple of years, 1 was to focus on the portfolio. So with the wind down of the ACS and then the Heart Failure business, that gave us opportunity to reinvest in the core and partly, you see the kind of the outcome of the decisions and improved execution and improved results in the core business. 
 So short term, potential kind of for short-term growth will be to reinvest more in the core, both on the innovation front, execution front, expansion of capacity and so forth. So that's one opportunity we're looking at. Longer term, in terms of strategic directions, we're going to have to wait until we see what clinical results OSPREY and RECOVER bring because, obviously, that will be a forecast, if you like, on the strategic direction of the company. So that's a little bit how we're thinking about it. Short term, more reinvest in the core, long term see what the -- what direction would take on DTD and OSA. 
David Rescott: Okay. Great. Maybe a question for Alex. If I look at the kind of updated EPS guide for the year in the bridge relative to what you laid out after Q4, operational growth -- growth and leverage is where things kind of have moved to higher tax, cost inflation, infrastructure investments, the HF, ACS exits, all remained relatively the same as it relates to the contribution for the bridge to growth in EPS this year. My guess is that implies that there's no real update on the latter kind of thesis to the guide. If we think about maybe some levers for upside in the remainder of the year, is there any shift in potential for those 3 latter pieces or would or if there's more upside to be had on the EPS line, it's more going to be operational growth and leverage relative to those 4 other, 3 other kind of buckets? 
Alex Shvartsburg: Yes. I mean as we looked at the components of EPS, we feel really good about the savings from the Heart Failure and the ACS wind down. Tax rate, we knew going into this year was a headwind but we're managing through it. So the majority of the upside here is really about operating leverage. And our team being super disciplined and focused about driving growth and ensuring that there's an appropriate level of drop-through on the bottom line. 
Operator: The next question comes from the line of Matt Miksic of Barclays. 
Matthew Miksic: Can you hear me okay? 
Vladimir Makatsaria: Yes. 
Matthew Miksic: Great. Maybe just if I could follow up on the sort of scenarios and your decision process between OSPREY and RECOVER, that would be super helpful and which of those programs you're likely to move forward with. 
Matthew Dodds: Matt, it's Matt. For both, I mean the data is obviously critical. As we said, with RECOVER, for unipolar, we get that data by the end of the quarter. And then for the OSPREY OSA program, around year-end. I'd say in terms of product development, there's a little bit of a difference with OSA. That's a component as well to look at. But generally, those are the core time lines when we get the clinical data to show basically where we would play in each one and what the value would be to the patients and physicians. 
Vladimir Makatsaria: Yes. And Matt, maybe just, I mean, obviously, we don't have the outcome of the decision. But I think what's important is the principle on how we make it. And we were going to look at 3 dimensions. The first one is, what is the clinical benefit to patients and that's #1. That's the most important one. 
 The second one, is how competitive is our technology in this space versus other available technologies on the marketplace. And then the third one is looking at the end-to-end kind of business model, if you like and how we can create value, not just for patients but also for the shareholders. So those will be the 3 kind of parameters that we're going to use to decide how to prioritize between those two. 
Matthew Miksic: That's helpful. If I could just one follow-up on the epilepsy market. If you could maybe talk about the biggest sort of factors driving or maybe enabling or restraining your execution there and ability to operate is competition -- is it some of the changes in your sort of go-to-market strategy? Is it just general sort of end of life cycles in your current and previous kind of implanted patients? Maybe just what are the most significant factors that we can look at to measure that performance this year? 
Stephanie Bolton: Matt, it's Stephanie here. Let me tell you where our focus is for the remaining part of this year. For the U.S., it's going to be the continuation of that disciplined commercial execution, building very much on the foundations that we laid last year in '23. You touched on our sales force structure but we'll be maintaining our sales force structure and our territory design. We're also building a high talent bench for those large influencing territories as well. But as I mentioned on the last call, our strategy is a little broader than that, than just our sales force structure. And in combination with that, it's also making sure that we expand our efforts in regards to partnership with our physician base. 
 We had a really successful recent scientific advisory board, full of great insights and also as we look towards 2024 in our end of service, so that's based on our latest data that the comparisons do get a little more tricky throughout the rest of the year. But we still are encouraged by our end of service performance and partner with our physicians to identify patients in accordance to that all-important continuity of care. So those are the sort of main aspects really. Partnership with our physician base, ensuring that we can expedite care, continuation of our territory structure and as I say, key partnership with our advisory board. 
Operator: Next question is a follow-up from Anthony Petrone of Mizuho Group. 
Anthony Petrone: Just a quick follow-up on RECOVER and the messaging there. Is the go or not go forward decision, will that be on the headline readout in June, July time frame? Or will you wait for the final data set at the end of the year to make that decision? 
Vladimir Makatsaria: Anthony, thank you for this for -- just the -- if the clinical data is negative, then it's a clear no-go decision. If the clinical data has elements of positive, whether holistically or in certain clinical areas, then we will continue working with CMS to define a go and no-go decision. So I -- and that is, for me, the best scenario where we can continue to work with them to evaluate that. 
Operator: As there are no additional questions waiting at this time, I'd like to hand the conference back over to Vladimir Makatsaria for closing remarks. 
Vladimir Makatsaria: Thank you, Candice and thank you, everyone, for joining the call, for your feedback and very thoughtful questions. And on behalf of the entire leadership team at LivaNova, we really appreciate your support and your interest in the company. And we'll talk to you soon. Have a good day. 
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.